Operator: Please stand by. Your program is about to begin. If you need assistance on today's conference, please press star zero. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to the Global Head of Investor Relations, Christina Colone. Good morning. Thank you for joining us.
Christina Colone: With me today to discuss our second quarter results as well as our strategies and outlook are Joanne Crevoiserat, Tapestry's Chief Executive Officer, and Scott Roe, Tapestry's Chief Financial Officer and Chief Operating Officer. Before we begin, we must point out that this conference call will involve certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. This includes projections for our business in the current or future quarters or fiscal years. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Please refer to our annual report on Form 10-K, the press release we issued this morning, and our other filings with the Securities and Exchange Commission for a complete list of risks and other important factors that could impact our future results and performance. Non-GAAP financial measures are included in our comments today and in our presentation slides. For a full reconciliation to corresponding GAAP financial information, please visit our website, www.tapestry.com/investors, and then view the earnings release and the presentation posted today. Now, let me outline the speakers and topics for this conference call. Joanne will begin with highlights for Tapestry and our brand. Scott will continue with our financial results, capital allocation priorities, and our outlook going forward. Following that, we will hold a question and answer session where we will be joined by Todd Kahn, CEO and brand president of Coach. After Q&A, Joanne will conclude with brief closing remarks. I'd now like to turn it over to Joanne Crevoiserat, Tapestry CEO. Good morning.
Joanne Crevoiserat: Good morning. Thank you, Christina, and welcome everyone. As noted in our press release, our strong second quarter results outperformed expectations showcasing our commitment to disciplined brand building. Our exceptional teams brought innovation and craftsmanship to consumers around the world this holiday season, driving accelerated top and bottom line growth to achieve record quarterly revenue and earnings per share. From this position of strength, we increased our outlook for fiscal year 2025 while making strategic investments to extend our competitive advantages and fuel strong, durable growth and value creation into the future. Touching on the highlights of the quarter. First, we powered global growth with total revenue gains of 5% outpacing guidance. Fueled by 10% growth at Coach, by geography, all regions exceeded expectations. International revenue rose 7% at constant currency, led by an increase of 42% in Europe, where our business is strong and our runway for growth is significant. In addition, we delivered a sales increase of 1% in the total APAC region. In Greater China specifically, we returned to growth with revenue rising 2%. Importantly, we continue to bring compelling innovation, relevance, and value to consumers with a sharp focus driving long-term growth in the region and with this important consumer cohort. And in North America, revenue increased 4% compared to last year, while gross and operating margin expanded as we continue to drive a healthy business. Second, we remained focused on building new and lasting relationships with consumers. During the quarter, we drove new customer acquisition growth, welcoming approximately 2.7 million new customers in North America alone. Over half of these customers were Gen Z and millennials. And they continue to transact at higher AUR than the balance of our customer base. Importantly, Gen Z consumers at Coach have the highest retention rate of all cohorts, reinforcing the opportunity to build lifetime value with our target consumer base. At the same time, we improved lapsed customer reactivation in North America, highlighting our ability to successfully engage our existing customer base as we recruit new consumers to our brands. Third, we delivered compelling omnichannel experiences underpinned by Tapestry's leading capabilities which enable us to enhance the customer experience across all touchpoints with our brands. To this end, we maintained strength in digital, which grew high single digits versus prior year and represented approximately one-third of revenue at accretive margins. Our global brick and mortar sales rose at a low single-digit rate in the quarter at strong and increasing profitability. Fourth, we fueled fashion innovation and product excellence. As we remain focused on bringing creativity, quality, and compelling value to consumers around the world, this is clearly on display at Coach where we delivered strong and broad-based growth in handbags with AUR gains. Underscoring the vibrancy of the brand and product offering. Our success is also reflected in our strong gross margin, as we achieved a record second quarter gross margin with further opportunity for expansion long term. Importantly, underpinning our innovation pipeline and margin gains is our agile supply chain. A key competitive advantage which enables us to deliver craftsmanship globally and powers our growth. Overall, we generated record earnings per share which exceeded our expectations and increased over 20% compared to the prior year. Importantly, our business is strong today and well-positioned for the future as we remain committed to delivering consistent long-term growth and shareholder value. Now moving to our results and strategies by brand. Coach had a breakout quarter as we continue to drive brand heat, and bring this storied brand to a new generation of consumers. Coach's success is compounding. And it demonstrates the enduring power of its expressive luxury positioning. Our growth is credit to our talented global teams who are operating with excellence and intention to deliver innovation across products, marketing, and experiences to cultivate emotional and lasting connections with consumers. To this end, during the quarter, we achieved 10% constant currency revenue gains at exceptional margins highlighted by 270 basis points of gross margin expansion and a 210 basis point lift in operating margin. Importantly, our strategies are working with three key areas underpinning our accelerated growth. First, new Gen Z customer acquisition resulting from our systematic understanding and engagement with our target consumer. Second, strength in our core leather goods category where we have authenticity and scale and our innovation is winning. Third, global outperformance led by North America and Europe and a return to growth in Greater China. These growth pillars will continue to drive our success in the future. Now touching on the strategic highlights of the second quarter in more detail. First, our results were driven by strong gains in leather goods, where we have multiple platforms for growth, given the power of our iconic handbag families and the success of new product introductions. The Tabby family once again outperformed over indexing with new and younger consumers and doubling versus last year. Building strength on strength the Tabby shoulder bag 26 continued to anchor the offering, with momentum in core Tabby, as well as new introductions, including the Times Square and Quilted Tabby. In addition, the recently launched New York family significantly outpaced expectations featuring the Brooklyn and Empire bags. During the quarter, the Brooklyn shoulder bag 28 at $295 was a top recruitment driver. While the soft Empire Carryall 40 at $695 outperformed. The New York family, a new foundation for the brand, continue to prove incremental and compelling. Providing innovation that's clearly resonating with consumers globally. Further, our Coach Originals collection featuring archival bags that celebrate the brand's legacy with a modern sensibility drove growth, notably with Gen Z consumers. And finally, bag charms and straps amplified our offerings, particularly the viral cherry charm cutting through for being emotional, highly giftable, and trend-right. Importantly, our strategies are driving strong brand heat and desire among Gen Z consumers. In fact, Coach was again recognized by The List climbing ten places to become the world's fifth hottest brand with the Brooklyn bag leading as this quarter's hottest product. Additionally, the Coach cherry bag charm entered the list as the number four hottest product. Overall, Coach's growth in handbags and accessories continued to outpace the industry. Which included mid-teens AUR gains globally, led by North America. And looking forward, we remain confident in the opportunity for further sustainable growth given our brand strength and innovation pipeline as well as the compelling value and craftsmanship we offer in the luxury market. Next, we remain focused on fueling life with an emphasis on footwear. Where we are underpenetrated and have a right to win by leveraging our brand strength to drive customer recruitment, frequency, and lifetime value with our target, timeless, Gen Z consumer. During the quarter, we successfully launched the new Highline sneaker, which sold at $125 in both retail and outlet. Attracted new customers to the brand. This introduction in both retail and outlet channels builds on our one Coach learning agenda, which we successfully piloted with Tabby. Turning to marketing. We continue to drive cultural relevance through emotional storytelling that amplifies our brand and product offering. This holiday, we rolled out the next chapter of our Unlock Your Courage Campaign. And with each campaign, we're learning. Gaining deeper consumer insights that enhance our storytelling and media. This capability enables us to deliver the right content at the right time on the right platform ensuring that our messages are cutting through. This is key to driving sustainable customer acquisition and it's working globally at scale. To this end, during the quarter, we continued to increase our top of funnel marketing investments. Demonstrating the confidence we have in our brand and product offering. As a result, this helped drive greater consumer engagement and outperformance versus the industry. Particularly in our key markets of North America and China. In addition, we also cultivated enthusiasm for the brand, through unique and immersive retail experiences. Our Coach Play concept stores, which engage consumers across their five senses, continue to outperform with higher Gen Z traffic, longer dwell times, and higher return frequency. We are taking these learnings and evaluating opportunities to bring the highest impact elements of these locations to our store fleet more broadly. Overall, our holistic brand building activities helped to drive increases in new customer acquisition as we welcomed over 1.7 million new customers to Coach in North America, a strong increase versus prior year and a significant acceleration in trend. Of these new customers, nearly 60% were Gen Z and millennials. Consistent with our strategy to recruit younger customers. At the same time, our retention rate with the Gen Z cohort also increased reinforcing that we're building lasting relationships with our consumers in support of durable growth. In closing, Coach, our largest brand, is strong and differentiated. And it continues to deliver outstanding results highlighting the capabilities of Tapestry's growth engine. With consumer understanding at the center of all we do, our talented teams are delivering the blend of magic and logic that is the hallmark of the brand and the foundation of our future. From this position of strength, I'm confident our best days are still to come with significant opportunity to drive continued consistent long-term growth. Now moving to Kate Spade. While profit results met our expectations for the quarter, driven by gross margin expansion. Revenue trends declined 10%. Most importantly, together with Eva Erdman, Kate Spade's new CEO, we are moving quickly and decisively, addressing what we know is not working and laying the groundwork for a return to sustainable profitable growth. Since Eva's arrival in October, we've assessed the current state of the business and made progress in building our roadmap for the future. Informed by deeper consumer insights. The takeaway of this work is clear. We need to rebuild the brand with consumers to reignite growth. To do this, we must focus our execution and accelerate our investments. With clear priorities distorted to our largest opportunities developing emotional storytelling to fuel customer acquisition, building handbag icons and driving growth in North America, our home market. And we see the path forward as having two important stages, first, we will streamline and solidify our foundation. By editing for focus, and investing to build brand heat. This will ultimately drive customer acquisition, which will allow us to scale from a healthy foundation, which is the prerequisite for sustainable top line growth. While we are acting with urgency, we acknowledge the work to reset the brand is a multi-quarter journey. Having said that, we know the path to growth is within our control and I am confident in the plan we've developed and the significant opportunity ahead for the brand. Now let me take you through our growth strategies and learnings in more detail, which includes results from the quarter. First, we're committed to fueling brand heat. Through relevant marketing to drive consideration and accelerate customer acquisition. During the quarter, we took a step forward in our brand building efforts. And this began with streamlining. In the fall, we made the decision to reduce spending on our fall campaign based on consumer feedback during testing. Instead, we pivoted, working with speed and agility to create new, more compelling content. And in December, we launched our holiday campaign. This was a social-first campaign featuring Grammy-nominated singer-songwriter Madison Beer. Consistent with our strategy to distort our marketing investments, into upper funnel campaigns with more relevant messages for our target consumer. Importantly, the tagline to the one who was pulled through creative activations on social media and in our stores. Following the campaign, we saw a significant increase in purchase intent among Gen Z consumers who engaged with the content. Reinforcing the opportunity to make incremental marketing investments to drive consideration and ultimately new customer acquisition. As a result, we are extending our brand campaign in the third quarter to sustain and amplify engagement with consumers. Importantly, our learnings will be used to inform our bigger picture efforts as we build towards a larger purpose-driven 360-degree campaign launch in the fall of 2025. Next, we are focused on sharpening and elevating our handbag offering, improving our to drive more relevancy in our assortment. In support of this ambition, we leveraged our consumer survey work which illuminated the need to streamline our offering. Clearing deselection barriers through a tighter assortment and improved styling. By simplifying our product stories and focusing our merchandising efforts, we will ensure that the big ideas in leather goods cut through with more cohesion and relevancy. With this effort, we expect to reduce the number of handbag styles by over 15% by fall. At the same time, we will work to build blockbuster handbag families informed by consumer understanding. And we have learnings from holiday. We stood firmly behind the recently launched Deco Collection and our stores and in our marketing. The Deco collection continues to over-index with new younger consumers at strong AUR and margins. We see further opportunity for this family going forward. Importantly, we know when it's rise thirty years ago, Kate Spade offered a pioneering proposition in the market along with distinctive iconic. And this is our aim today. To build on what made us unique and successful historically in a way that is modern and relevant to our consumers today. Next, are focused on maximizing omnichannel cohesiveness with one brand message across all consumer touchpoints. Importantly, we are taking steps to reduce our promotional messaging across channels. The results of the last quarter reinforce that emotion and newness are what's winning with consumers. While promotional activity is not. Therefore, decreasing our level of promotional activity will be a key building block of solidifying our brand and positioning it to scale in a healthy way. Globally over the long term. To this end, we expect our gross margin to continue to expand moving forward as we build for the future and connect consumers on our brand values, beyond simply price. In closing, we are focused on executing our strategic roadmap for durable growth, and we are accelerating our investments to do this. We acknowledge that our strategic actions will pressure the brand's near-term financial results. However, the strength of our portfolio allows us to do this while delivering enhanced growth overall. Importantly, we have conviction that we are taking the right steps to reset the brand and unlock its full potential. Kate Spade is a beloved, unique, and purpose-driven brand. And though there is significant work to do to enhance its relevancy and reconnect with consumers, the strategy to deliver this outcome is well understood and in our control. We are confident in the meaningful long-term runway for the brand the value creation opportunity it represents for Tapestry. Now turning to Stuart Weitzman. Financial results remain challenged in the quarter with net sales decreasing 16% versus prior year at constant currency. Primarily reflecting softness in Greater China and in North America direct channels. In addition, global wholesale net sales declined impacted by shipment timing, while trends at POS remained strong growing at over 20% a key indicator of strategic progress. Overall, the Stuart Weitzman team remains focused on fueling brand relevancy, driving customer engagement, and delivering improved financial results long term. In closing, Tapestry delivered a standout holiday quarter. I want to thank our teams once again for their passion, creativity, and commitment to brand building and for driving our strong results. From this position of strength, we raised our outlook for the year with a sharp focus on the path forward. We will continue to fuel momentum at Coach. While taking action to reset the Kate Spade brand for long-term growth. We are confident that our bold growth agenda will support meaningful value creation, and we look forward to sharing the details of our long-term roadmap at an investor day this fall. Our future is bright. And we have the ambition, discipline, and strategies to generate strong and durable growth and shareholder returns for years to come. I'll now turn it over to Scott.
Scott Roe: Thanks, Joanne, and good morning, everyone. Our second quarter results exceeded expectations. Building on our track record of consistent execution as we unlocked accelerated growth, in the quarter, we delivered record quarterly revenue, gross margin, and earnings per share, while generating significant free cash flow. Now moving to the details of the quarter beginning with revenue trends on a constant currency basis. Sales increased 5% compared to the prior year and outperformed our guidance across all regions. These results reflect gains in Europe, North America, and total APAC with international revenue growing 7%. By region, Europe revenue grew 42% above last year with growth across all brands and channels driven by increased local consumer spend, and strong new customer acquisition, notably with Gen Z. In Greater China, revenue inflected to growth of 2%. Our sequential acceleration was driven by a return to growth in our brick and mortar channel, led by an improvement in traffic, while trends in digital remained positive. Our differentiated results in China clearly demonstrate that our strategic initiatives and investments in the region are yielding returns. Positioning our brands and business for long-term sustainable growth. And in other Asia, revenue rose 11% led by growth in Australia, New Zealand, South Korea, and Malaysia, while Japan sales declined 5%. In North America, sales increased 4% compared to the prior year, led by double-digit growth at Coach. Importantly, total gross and operating margin rose versus last year. Now touching on revenue by channel for the quarter. Our direct-to-consumer business grew 4% compared to the prior year, which included a high single-digit increase in digital revenue, and a low single-digit increase in global brick and mortar sales. And wholesale revenue grew in the quarter, in keeping with our expectations and strategy to find targeted opportunities to expand our brand's reach with consumers. Moving down the P&L, we delivered a record second quarter gross margin which was well ahead of plan and 280 basis points above prior year. This year-over-year expansion was driven by 260 basis points of operational outperformance as well as a benefit of approximately 20 basis points from lower freight expense. Our strong gross margin performance remains a core element of our value creation model providing us with flexibility and fuel to accelerate investments and drive long-term growth. Turning to SG&A, which rose 7% led by higher marketing spend versus prior year and forecast as we reinvested a portion of our profit outperformance into incremental brand building activities via top of funnel activations. Taken together, operating margin increased approximately 210 basis points in the quarter driving profit growth ahead of expectations and 15% over the prior year. At our record second quarter EPS of $2 grew 23% over prior year and exceeded our guidance by more than $0.30. To provide context on this beat, approximately $0.17 of the upside was due to operational outperformance. $0.08 was due to the net benefit of share repurchase activity, and $0.08 was related to a favorable tax rate versus plan. Now turning to our shareholder returns programs. As previously announced, following determination of the merger agreement with Capri in November, we took swift action to utilize our significant cash flow to execute a $2 billion accelerated share repurchase program underscoring our outlook for growth and unwavering commitment to deliver shareholder value. Together with our dividend, which is expected at $1.40 per share for the year, we are positioned to return over $2 billion or more than 100% of free cash flow to shareholders in fiscal 2025. A testament to our strong organic business and robust cash flow generation. And now before turning to the details of our balance sheet and cash flows, I'd like to reiterate our capital allocation priorities, which are unchanged. We have two foundational commitments. First, to continue to invest in our brands and business to support long-term sustainable growth, second, to continue to return capital to shareholders via our dividend. As we've shared, we have a goal over time to increase the dividend at least in line with earnings to achieve our stated targeted payout ratio of 35% to 40%. Beyond these foundational commitments, our robust cash flow generation provides us with balance sheet flexibility for value creation. This includes the opportunity for share repurchase activity, which is on display this year. In addition, we have $800 million remaining on previous share repurchase authorization for future buyback activity. Finally, utilizing our rigorous four-lens framework, we consistently evaluate opportunities for strategic portfolio management. Importantly, and as previously communicated, before moving forward with any acquisitions, we will ensure Coach remains strong and Kate Spade has returned to sustainable top-line growth. These clear capital allocation priorities are underpinned by our firm commitment to a solid investment-grade rating and maintaining our long-term gross leverage target of below 2.5 times. Now turning to the details of our balance sheet and cash flows. We ended the quarter with $1 billion in cash and investments and total borrowings of $2.7 billion representing net debt of $1.7 billion. This includes $1.5 billion of senior notes raised during the quarter at a blended interest rate of 5.3% to help fund our ASR. At quarter end, our gross debt to adjusted EBITDA was 1.6 times. Adjusted free cash flow for the second quarter was an inflow of approximately $890 million and CapEx and implementation costs related to cloud computing were $39 million. And inventory levels at quarter end were 14% above prior year as planned. As we move into the back half of our fiscal year, our inventory is current and well-positioned globally and by brand in support of our growth ambition. To this end, we continue to expect to end Q3 and the full year with inventory above year. Now moving to our guidance for fiscal 2025, which is provided on a non-GAAP basis. We are raising our fiscal year 2025 revenue operating margin, EPS, and cash flow outlook. Importantly, we continue to view our outlook as prudent and achievable as we remain clear-eyed about the realities of the environment balanced with the opportunities we see for our business. For the fiscal year, we now expect revenue of over $6.85 billion representing growth of approximately 3% versus prior year on a reported basis, including an expected currency headwind of over 50 basis points. Touching on sales by region at constant currency, we expect growth in Europe in the area of 30% where we are underpenetrated and have strong traction. In other Asia, we anticipate high single-digit gains while in Japan, we're forecasting a low single-digit decline. In North America, we expect revenue to be up slightly as we continue to support healthy business. And in Greater China, we expect low single-digit growth over the prior year. In addition, our outlook now assumes operating margin expansion of approximately 100 basis points versus prior year, we anticipate gross margin expansion to drive this increase. Due to improvements in both AUR and AUC, both freight and FX are still expected to have a negligible impact on gross margin changes for the full year. On SG&A, we expect expenses to increase above the pace of revenue growth driven primarily from increased marketing expense including accelerated investments at Kate Spade, while we remain diligent with respect to overall expense control, we're making deliberate growth-focused investments in our strategic priorities. Moving to below the line expectations for the year, net interest expense is expected to be approximately $35 million as compared to prior guidance of $20 million of net interest income. This change reflects the interest on our new bond issuance as well as a lower cash balance due to the execution of the ASR program. This outlook also incorporates the expectation to repay our April 2025 bonds totaling $303 million at maturity. The tax rate is expected to be approximately 17% to 18% and our weighted average diluted share count for the year is forecasted to be approximately 223 million shares as compared to our prior guidance of approximately 238 million shares reflecting the partial year net benefit of share repurchase activity which includes the initial delivery of approximately 28 million shares received in November. So taken together, we're raising our EPS guidance to $4.85 to $4.90 representing 13% to 14% growth compared to last year, ahead of our prior guidance of $4.50 to $4.55. This increase incorporates our Q2 operational outperformance of $0.17 full year net benefit from share repurchase activities of a dime and a net tailwind of $0.08 from favorable tax rate partially offset by a planned second half currency headwind. To briefly touch on the topic of tariffs, this guidance embeds the expectation for an additional 10% tariff on goods imported from China into the US beginning February 4th which is expected to have an immaterial impact on fiscal 2025 results given our limited manufacturing exposure to China. We continue to monitor the external landscape closely and are developing potential mitigating actions as needed. To note, we do not have production in Canada or Mexico. Moving on, we now anticipate adjusted free cash flow of approximately $1.2 billion. Finally, we expect CapEx and cloud computing cost to be in the area of $170 million. We anticipate two-thirds of the spend to be related to store openings, renovation, and relocations, with the balance primarily related to our ongoing digital and IT investments. Touching on the shaping of the year, we expect revenue to increase the area of 4% in the back half of the year on a constant currency basis. Including an expected FX headwind, we anticipate revenue growth in the area of 3% for the second half with fairly balanced top-line growth between quarters. Turning to operating margin, we expect expansion versus prior year in the second half driven by gross margin improvement, while SG&A is expected to grow modestly above the pace of reported sales gains with a higher level of growth planned in Q3 relative to Q4. And this is based on the phasing of investments. And we expect our tax rate in Q3 to be below the full year average. Taken together, we expect second half EPS growth with Q3 EPS forecasted to approach $0.85. In closing, we delivered a record-breaking quarter highlighted by accelerated top and bottom line growth led by Coach, our largest brand. And from this position of strength, we raised our outlook for the year. Importantly, our commitment to disciplined brand building and our intense focus on fundamentals allows us to invest in our future growth drivers leaning into the biggest opportunities where we'll build strong gains and extend our competitive advantages while returning over $2 billion in capital to shareholders. In this fiscal year alone, we are confident in our brands, our people, our strategy, and our outlook with steadfast focus on delivering accelerated growth and enhanced shareholder value in fiscal 2025 and for years to come. I'd now like to open it up and take your questions.
Operator: To withdraw yourself from the queue, you may press Star two. Our first question is from Bob Drbul of Guggenheim. Hi. Good morning.
Bob Drbul: Just have two questions really. The first one just on Coach, what really drove the success this quarter? Do you think that it's sustainable? And the second one is just can you expand a bit more just how you're thinking about Kate Spade going forward. Thanks.
Joanne Crevoiserat: Thanks, and good morning, Bob. The record-breaking quarter we delivered shows the power of our organic growth opportunities and our brand building strategies. As you can see, our teams are confident and focused. Our strategies are working and they're compounding, and there is more growth ahead. I will say Tapestry is committed to continuing to fuel that sustainable growth at Coach, and I'll turn it to Todd to discuss Coach in more detail, and then I'll jump back in to address your question on Kate.
Todd Kahn: Thanks, Joanne, and thank you, Bob, for the support. I can say without any reservation, the strong growth in revenue and profitability at Coach is sustainable. And my confidence is based on four key pillars from our brand building playbook that we've honed over the last few years. So let me run you through them. First, culture. Culture, I cannot overemphasize. We've materially changed our culture at Coach and Tapestry, which is truly foundational to our success. We have developed an environment where creativity, innovation, inform risk-taking, with a true test and learn agenda leads. And not just the opinion of the most senior person in the room. Even if that's me sometimes. Second, our deep consumer insights that inform our business strategies, products, and marketing spend. And it's scalable and markets across the brand and Tapestry. You think about it, you see this in play in North America, in China, and Europe. Third, our focus on customer acquisition with our targeted Gen Z cohort. These clients are discovering the brand at record numbers. They're transacting at higher AURs, and with greater frequency. Fourth, our key focus on handbags and leather goods. Providing incredible value, authenticity, and craftsmanship at scale. Demonstrated by the success of our icons. Such as Tabby, Brooklyn, and Terry. So if I had to summarize, something we talk about a lot here. Coach is a storied brand with over eighty years history winning today, we are winning with a modern client. We're doing this because we are understanding the consumer, we're nurturing creativity, we're operating as a high-performing team, and we're managing with financial rigor.
Joanne Crevoiserat: Thanks, Todd. Really displaying disciplined brand building, and then I appreciate it. On Kate Spade, we are taking action, and we're bringing focus to our execution, and we're accelerating our investments to drive that long-term growth. We have made changes. We have a new CEO, Eva Erdman, who's partnering with Sandeep, our chief growth officer, and we're leveraging deeper consumer insights and we're building on the learnings from Coach. You just heard Todd talk about the successes we've built at Coach. We're starting at Kate with focus and streamlining. What we've heard from our customers is the need to remove deselection barriers. Reducing our style counts and we're reducing promotional activity. At the same time, we're leaning into marketing investments to fuel brand interest and ultimately drive new customer acquisition that we know will power our growth in the future. We have work to do. This is a multi-quarter journey, but our strategies are clear and the path to long-term growth is in our control. At Tapestry, we're being disciplined about how we allocate resources and capital. So come back to where we started, we're both fueling Coach and investing across our portfolio for the future. We delivered a strong quarter and raised our outlook, and we're doing that while accelerating investments to reset Kate Spade.
Operator: Thank you very much. Our next question is from Ike Boruchow of Wells Fargo. Hey.
Ike Boruchow: Congrats. Great results. Glad to see it. Two from me, maybe first for Joanne, maybe second for Scott. Just kind of digging a little bit more into Coach, specifically in terms of the robust numbers you guys are putting up. Maybe can you talk about, Joanne, maybe how much did the New York family and Tabby contribute to Coach's growth? What percent of sales do these two families represent? Any more detail there might be helpful. And then follow-up for Scott. Just core drivers of potential margin expansion ahead. How are you thinking about the pace of future gross margin expansion at Coach just following all the recent strength would be helpful.
Joanne Crevoiserat: Sure. I can pick it up. And just let you know that Coach's business is based on really strong foundational principles, and the growth is broad-based. And I think I'll talk it to Todd to cover the details on the business at Coach.
Todd Kahn: Thanks. I appreciate that. We're so pleased with our platforms. And what's so different about Coach today is we don't have a single platform. We have multiple platforms but they're still very focused. So first, no single platform counts for more than 10% of our sales. Whether that's the Tabby family, whether that's the New York family. So I see a lot of runway with those families as well as Terry in outlet. So we have foundational families that we can drive real business with. Amazing is all of them Terry, Tabby, Brooklyn, are attracting this younger consumer. And so we're attracting this younger consumer across the price spectrum. Which is phenomenal for us. You're gonna Scott's gonna talk about gross margin. I will give a plug. If you think about gross margin, the way we're thinking about it, we just came off of what typically is the highest promotional quarter in our industry. Delivered over 77% gross margin. And, again, that was the highest gross margin in the second quarter in Coach's history. I see incredible sustainable growth in gross margin over the long term. And as we continue to create desirable product, have to use price points. With the scale and the opportunities that the Tapestry supply chain provides. So both on raising price and on reducing our cost, we have a lot of runway left. Scott, hopefully, I left you something on the on the on the boat.
Scott Roe: You know, here's the great news, Todd, is we're in full alignment. Right? This management team prioritizes both gross margin and operating margin. And you know, AUR gross, AUC, which I always say is that most underappreciated part of the story. As our teams look at what consumers really value, we've got using AI for price elasticity. I mean, we're getting a lot more sophisticated as we look at these trade-offs and decisions and that plus the investment in brands brand love. And Todd always says emotion trumps price, and you see that on display, right, with the strong operational beat that we had in gross margin and how that's consolidating into near market-leading operating margins and Coach more than 33%. So what's ahead? You can expect that same basic flywheel. We're gonna grow our gross margins gonna continue to invest in engagement with consumers, which is through increasing marketing and more importantly, more effective marketing and storytelling. And we're balancing the long-term investments with short-term commitments to our shareholders. And I hope you see that's on display with record earnings in the second quarter and a strong beat and raise for the full year. What that means is 200 basis points of gross margin expansion and about 100 basis points in terms of op margin expansion. As we deliver for the short term, but also invest for the long term.
Ike Boruchow: Congrats, guys.
Todd Kahn: Thanks, Ike.
Operator: And our next question is from Adrienne Yih of Barclays.
Adrienne Yih: Good morning. And let me add my congratulations. Really well done. Joanne, I'm gonna go back to Kate Spade. You know, often when we kind of change the strategy, just wondering who do you envision in Ava envision today is the target market target consumer, kind of how you define her specifically. And then Scott and or Todd, this is kind of a both of you question. So, within Coach, Scott, can you give us can you talk about the AUR lift? Like, how much higher on a five-year basis is AUR? But more specifically, how much of that is actually from lower markdowns how much are your initial retail prices higher versus five years ago then segues to Todd Isn't this the largest spread to pinnacle luxury mean, that we've seen ever covering the space? It just seems like that Europe is testament to the fact you have a whole new market that's sort of been abdicated by Pinnacle Luxury. If you can speak to that, that'd be great. Thanks.
Joanne Crevoiserat: Yeah. Thanks, Adrienne, and I'll jump in on Kate Spade. And I would say that it's not so much of a strategy change. The principles of brand building at Tapestry across our portfolio remain intact, and our focus is on sharpening our execution. And as we think about improving that execution, it is in through building more relevance for a target younger consumer. One of the learnings that we've had and our approach is to make sure that we're attracting new customers to the brand, but also new and younger consumers to our brands. Because we know that by 2030, 70% of the consumption in our category will be with new and younger consumers. So we see that as the lifeblood. And as we do deeper consumer research, we're listening and responding and improving our execution behind what we hear to bring more relevance to the brand both in product and in the experiences and storytelling that we develop. And some of the actions we've taken already are showing some traction. We know we need to streamline and focus. What we're hearing from the customer is removing those deselection barriers. Reducing the style counts, that allows us to take big ideas and have them cut through for the consumer and also reducing promotional activity. As we mentioned and as you know and what we see in the market, innovation is winning with the consumer. Continuously hitting the consumer over the head with price is not winning. And so we will sharpen our execution around that as we build the brand and reset the brand. We're also making investments. We're gonna reach our target consumer on the right platform with relevant messaging. And we're leaning into investments there. We see how effective that has been in building brand heat and desire and we're beginning that. We know that's not an overnight change, but we're beginning those investments. And the beauty of it is that we have a strong portfolio. We are beating our estimates. We're raising our outlook, and we're making these changes and investments. And I will end by saying that I'm really excited to partner with Ava. We've brought in a really strong brand builder and the team is very focused on moving quickly behind these actions.
Scott Roe: Yeah. Let me build on that real quick. Yeah. Just put some numbers Adrienne, on the CAE guide. So in the in the quarter, we're down about 10%. We expect the top line trend to be more or less the same. Through the second half of this year. With gross margins continuing to build, moderating a little bit from what we saw in the first. We lapped some of the cost initiatives from a year ago, but still positive in gross margin. And as Joanne just said and we indicated in prepared remarks, significant investment brand building. It'll be the highest percentage brand building as a percentage. Obviously, Coach had absolutely turned as much larger, but the largest percentage increase in what gives us conviction around making that? It's what we've seen on display in Coach. And remember, the phases of this were we're focusing on brand awareness, then we're gonna go followed by customer acquisition and finally growth. Had a beat raise for the full year. Even more importantly, don't lose the thread because we and we're able to not only make these investments in Kate Spade for the long term, but deliver in the short term. To shareholders based on the results that we just printed. I'll throw it to Todd on the AUR question. I think better served by him.
Todd Kahn: Thanks, Scott. I chuckle a little bit because in the since FY19, in about the 20 quarters, we've been doing this together, I think 19 of them. We've had an AUR question. I think nine of them we've gone to AUR. So indeed. What's exciting is you and every quarter, like, I did it. Is this it? Is this it? And, you know, we keep hopefully surprising you on the upside. So first, I'm AUR this last do we do? Deliver double-digit handbag growth on AUR and even in North America. So your question is insightful. There's a couple things at play here. Obviously, value matters. And we offer incredible value against maybe traditional European luxury and people are seeing that. And you're seeing it in markets like Europe, where we're seeing double-digit growth because there's value. But I will also say, the value equation is only part of it. You have to have compelling product. You have to say your product has to stand for something. I talk a lot about value and values. Our focus, this timeless Gen Z customer. And we're our insight that we keep developing and how we continue to build on that insight. It is the cornerstone for everything we do. It's the cornerstone that informs Stuart and our design team. It's the cornerstone of our operations, and it's the cornerstone of our storytelling. So excuse me. The value in value is just clear. I see a lot of AUR growth. We obviously don't have to discount product. But also what we've done over these last couple of years is we focus on fewer stories, deeper icons. We don't have to we don't have that vicious cycle of markdowns that historically you have in our space. Because we're reinforcing fewer deeper ideas.
Adrienne Yih: Fantastic. Well done.
Scott Roe: Thank you.
Operator: Our next question is from Matthew Boss of JPMorgan.
Matthew Boss: Thanks, and congrats on a great quarter. So Joanne, with Coach now at a position of strength, as you cited, could you speak to new customer acquisition trends in North America and Greater China and specifically elaborate on opportunities you see to further accelerate growth just given the momentum and clear move to offense. And then, Scott, on the bottom line, earnings this year raised to low to mid-teens. That's your former growth algorithm. Is there any reason that this pace is not sustainable multiyear.
Joanne Crevoiserat: You know, we are I think that second quarter demonstrates the power of our brand building capabilities. It is the disciplines that we have on display. Coach is leading, Coach is taking share, and it does start with really leaning in to the true essence of the brand understanding our target consumer, and delivering relevant product, emotional product experiences, and storytelling to deepen the engagement with the consumer. And this is a journey that we've been on for years, and we continue to build and hone our capabilities here, and we're driving success. It's not just a customer acquisition that we're after. We're after customer acquisition with a younger consumer. And in the Coach case, with the young timeless, Gen Z consumer. And that's where you see as we get more focused on exactly who our target customer is and bring all of the capabilities of our company, including the incredible innovation and creativity that the teams are delivering. With our commercial capabilities around the world. That is cutting through with our target consumer. We're acquiring more consumers. That accelerated in the quarter. More than half, 60% at Coach for Gen Z, and millennial consumers, and what's interesting about customer acquisition, as you asked, it's these customers are coming into the brand in a healthy way. They're transacting at higher AUR than the average and they're now coming back with more frequency. So building that lifetime value that we value with the young consumer. So that is the focus. It's the focus of our brand building capabilities. And it really starts with having a systemic understanding of the consumer and a continuous learning agenda. And I would say that the teams, while they have success, they continue to stay humble and curious, and we see a second quarter demonstrates, this will drive growth. And we're just getting started. We see more growth ahead. And a lot of opportunity across our portfolio and with Coach.
Scott Roe: And I guess on the second part of the question, Matt, is it sustainable? Short answer, yes. In my opinion. And why do I have conviction? Around that? Well, Todd gave a lot of it, right, which is our continued strength in AUR, our AUC initiatives, and one of the with the best supply chain in the business, gross margin growth. We'll continue to invest, but we also read and react. I think this is an important part. We don't just invest to invest. We invest where we see those indications and that's in our control and we're balancing short term and long term as we think about those investments. And then, obviously, our commitment is to continue to grow earnings. Other thing I'd point out is the strong cash flow yield. You know, we just raised our free cash flow to $1.2 billion. We've got a very strong balance sheet and a lot of options delivering even more shareholder value in the future. Whether it be through buybacks or other actions.
Matthew Boss: Congrats again.
Scott Roe: Yeah. Thanks.
Operator: Our next question is from Lorraine Hutchinson of Bank of America.
Lorraine Hutchinson: Thank you. Good morning. I wanted to build on the discussion around these powerful new handbag franchises. How do you balance their near-term success with also ensuring that the pipeline is full of new products to take over when those products pass peak?
Joanne Crevoiserat: Go ahead, Todd. I'll let you jump in. Yeah. I'm confident in our innovation pipeline. But, Todd, I'll let you jump in.
Todd Kahn: You know, it's an interesting phenomenon. We and we recognize this with Tabby, and I think I might have said in prior investor calls. But from 2019, what we started to see Tabby slowdown. And, typically, what would have happened is we would have exited it, it would have gone into outlet. But we would have had the markdown liability a year later, we come out with a new bag called Gabby with the similar attribute. And we'd start the cycle all over again. We stop that cycle. What we did is we took the platform and we innovated in the platform. It was in Tabby's case. We launched Pillow Tabby. Not only did it create an entire new opportunity, it enhanced the original Tabby. We keep doing that more and more. And one of the things I looked at, it was I had a walk through yesterday for fall. The New York family, the Empire, the Brooklyn, we're seeing so much innovation under the platform. That's powerful. And it's cohesive. So when a customer comes in, their choices it tells a compelling story, and you see that with our New York family, which really we're just getting started. New York family is less than a year old. It became the number one bag in the list the first time in our history Coach had two products in the top ten in the list. Conversely, Tabby, we have so much runway. For Tabby. And what I love about Tabby is it has such a distinct hardware in the sculpted C that is ownable and desirable by our clients.
Lorraine Hutchinson: Thank you.
Operator: Our next question is from Brooke Roach of Goldman Sachs.
Brooke Roach: Good morning, and thank you for taking our question. Joanne, Scott, Todd, I was hoping we could dive a little bit deeper in the momentum that you're seeing in China in particular. It sounds like you have a little bit more optimism there than last quarter on an x FX basis. What's working specifically there? What's changing in the execution of your and mortar strategy for Coach, and how should we be thinking about the opportunity to accelerate Coach as well as your other brands in that region going forward. Thank you.
Joanne Crevoiserat: Sure. Why don't I kick it off, Brooke? We were pleased to see Greater China return to growth in the second quarter. We delivered low single-digit growth in the quarter significantly outpacing the industry and I think that speaks to the success of our strategies. The brand building capabilities that are working are working globally. And it does underscore the opportunity ahead. We have strong broad-based performance across channels and city tiers in China, the team is importantly bringing the innovation and the value to consumers in that market. Our brand is positioned quite well in the market, and we're investing, including in higher levels of marketing in the region. And we're seeing consumers respond, including younger consumers. So we are driving Gen Z acquisition. So the principles of brand building that are working at Coach are working across the globe. Maybe I'll talk it to Todd if I left you any material to cover how you're thinking about China, but we remain confident in the long-term opportunity overall in China. But, Todd, any color on Coach specifically?
Todd Kahn: Thanks, Joanne. You know, again, we've been in China for over 25 years. We have a depth and a richness to China and understanding in China. We spend a lot of time there. We have amazing people and stores on the ground which really drive everything. And some of the things I've talked about, I think, last call, I mentioned the visit to Wuxi. I know many of you had a better look up where Wuxi was. Small city of nine million people with, you know, three current Coach stores, which opportunity to triple that. That story replicates itself often. This growth of the middle class is so powerful for our brand. Again, going back to value and values, both resonate with this Chinese consumer. So I was so pleased to see a return to growth in China. You're gonna see more growth coming out of China. And in addition to productivity growth as we see increases in traffic. Gonna see distribution growth. We really believe in China. We believe that the Coach brand represents something very special in China. For a number millions and millions of clients. And, again, when you think about people coming of age, eighteen, nineteen, twenty-year-olds, who wanna buy their first bag. We want more than our fair share of that client coming to Coach. We have the right to get them.
Brooke Roach: Great. Thank you so much.
Operator: Our next question is from Michael Binetti of Evercore.
Michael Binetti: Hey, guys. Let me just add my congrats on a great holiday there, especially Coach North America. Incredible work. I'm sure you guys are proud of it. I just ask you on the path forward on AUR. Is there a point where Brooklyn and Tabby and the franchises that you've spoken about today, all the new consumers you've brought in, the good retention rates, that Joanne talked about start to translate to unit growth. I think if we, you know, back out the AURs you talked about, units are probably still so negatives. Or do you see do you still see the growth coming largely from AUR in the near that's where the momentum is and unit growth would be upside. And then, Scott, just a quick follow-up to you just to help us think about your near-term priorities for high how to think about flow through if the revenue upside does continue. I know you held the SG&A rate to what we were expecting in the quarter, but you were still you still grew the dollars when the revenue came in. It sounded like went to the top of funnel things that can drive the brand going forward. So just how to think about, you know, your priorities for SG&A if you do see upside revenues in the back half. Thanks.
Joanne Crevoiserat: Yeah. On AUR and units, your question I think Todd covered the AUR. His confidence in the AUR earlier on the call. Our innovation pipeline is strong. AUR is driving our growth, but we see the opportunity for us. It's an and, not an or. We see the opportunity to drive units going forward both with the expansion of the market and new customer acquisition as well as with, you know, category expansion as these brands continue to drive heat. And maybe toss it to Scott for the flow through.
Scott Roe: Yeah. So I, you know, I can't really give you a definitive answer other than that we will continue to see flow through my we're leaning in where we see real opportunities and for example, we mentioned the Cape where we saw some traction in the campaign with Madison Beer and some of the opportunities leaning in and certainly, we could have made more money. We expect the profit in Kate to be in the 7% range or $85 to $90 million. We could've made that a lot higher but we see the opportunity long term to make that investment. And we can do that while we're still at the Tapestry level delivering significant beats. So we're gonna look at all these investments. You will see flow through. I wouldn't expect a radical change. We've invested where we see that it's prudent, but if other things come up, we'll certainly take those.
Operator: Thank you. That concludes our question and answer. I will now turn it over to Joanne Crevoiserat for some concluding remarks.
Joanne Crevoiserat: Thank you. Today, we had the opportunity to share our standout holiday results and stronger fiscal 2025 outlook. And what I want to leave you with is a reiteration of our focus and confidence. Coach is an iconic brand, and we're winning with a new generation of consumers around the world. I've never been more confident in the brand and its innovation pipeline. Our success shows that our strategies are working and that a commitment to disciplined brand building drives results. And with this momentum, we're extending our competitive advantages and bringing more focus and investment to Kate Spade. Kate Spade is a unique and beloved brand. We have new leadership, a clear roadmap for long-term growth, and the learnings from Coach to pave our way forward. There is work to do, but we're moving decisively, and we're confident that the path to growth is within our control. Overall, we have a bold ambition to drive accelerated, durable organic growth. And we're focused and confident that the value creation opportunity in front of us is compelling. For our brands, consumers, talented teams, and shareholders. Thank you again to our exceptional global teams for fueling our growth and thank you to everyone who joined us today for your interest in our story. Have a great day.
Operator: This concludes Tapestry's earnings conference call. We thank you for your participation.